Rene Goehrum: Welcome to the BioSyent Inc. Q4 and Fiscal Year 2024 results presentation. My name is Rene Goehrum, and I'm the President and CEO of the company. Before we dive into the presentation itself, I just want to bring your attention to the forward-looking statements disclaimer. And I wanted to thank you for taking the time to visit with us and to listen in on this presentation and, take a look at how BioSyent is progressing and executing its strategy and business operations. It's an interesting time. There's a lot of drama around geopolitics and trade wars, and I would characterize, what we're doing here at BioSyent is quietly working away, serving our customers and serving Canadian patients with unique and differentiated products. We're progressing our business. We're moving revenue and profit along, diversifying our portfolio, and creating value for our shareholders. I will have more comments on trade wars, et cetera, further on in the deck. So let's start with a look at our revenue and profit performance for the quarter. Sales reached just under $8.8 million that was a record quarter for the company driven by Canadian pharma and international pharma for the quarter. You'll notice that the percentage decrease for the legacy business looks substantial, but it isn't really in absolute dollar terms, our legacy business doesn't typically contribute much in the fourth quarter of the year. It's generally not material, and so the percent changes. One customer buying in December versus January type of thing, so pretty non-material for us. Our EBITDA had a significant lift in the quarter versus the year ago, up 36%. What was encouraging as well was the EBITDA margin growing from 20 to 25% in 02/2024 in comparison to the year prior. And our NIAT margin fairly consistent to $1.6 million of NIAT margin flat at about 18% to revenue. On a full year basis, we were up double digits. So revenue hit just over $35 million. That was driven by our Canadian pharmaceutical business and our legacy business to a lesser extent. It's a smaller contributor overall, but had a positive year. Our international pharma business down a little, in absolute dollars. Once again, it's not material, the change. If you've been following us for some number of years, you'll know that our international pharma business has been lumpy. It comes some quarters, and some quarters, it doesn't. So what we're finding now is more likely that we've got quarterly shipments in our international pharma business. And that will change now the addition of our Tibelia Global asset acquisition, which we announced last September. So right now, when I say international pharma, this revenue contribution is without the, Tibelia Global that we acquired at September. More on that in a couple of slides. So our EBITDA up strong over the year, up 18% to, just, over $9.3 million. EBITDA margin up to 27% as a ratio to revenue, our net income after tax, just under $7.3 million up double digit 13%, and the NIAT margin up slightly to a 21% of sales. So when we take a look at how that then translated on a by brand basis, I'll just point you here. The quarter is the second column on a by brand basis. The full year is the far right column. You can see that the Canadian business performed well in terms of revenue growth on a by brand basis with the exception of RepaGyn in the fourth quarter. I think we had a tough comp in the year ago quarter for RepaGyn. And you can see if you follow that through on a full year basis, all of our Canadian pharma brands were positive in terms of revenue growth contributing, overall to the business. Our international pharma was down 11% on a full year basis, but that, as I say, we found encouraging because we had some regularity in terms of shipping. And I would say, this speaks to our shipments of FeraMAX internationally. And based on what we've already shipped year-to-date to the recording of this presentation, including building our order book. We have every expectation that that business will grow in the order of greater than 50%, for 2025. That's just FeraMAX ex Canada. So total company up 11% to $35 million. So how did that then flow through to earnings per share? I just want to stop on what you see on the top left of your screen. The fourth quarter was our 58th consecutive profitable quarter. In the quarter itself, we earned $0.14 fully diluted for a full year of $0.62. So a really strong performance in the 17% growth range versus the year ago at $0.53. So consistent quarterly profit performance and overall strong earnings per share growth when compared to the prior year. So I mentioned the 58 quarters. If we can look back to what our business looked like when we first turned profitable in midyear 2010. We had basically our legacy business and the first kind of iteration of FeraMAX 150 in the market. Since then, we've consistently grown our business. In the last five years, we've grown our business in terms of revenue of greater than 60%, in terms of EBITDA, 65%. And in terms of earnings per share, we've doubled our earnings per share when looking just at the last five years, so kind of using 2019 as the base year. So we've added to the portfolio through diversification, the most recent being our acquisition of Tibelia Global announced in September. And so we've been making steady progress on the business, and I think we're well positioned to continue to perform in terms of revenue and profit growth. And we're working hard at continuing to diversify our portfolio. So let's take a look back at some of the highlights of 2024. In February, we were named one of the top 50 performing TSX Venture companies. This is out of a universe of about 1,700. This measures price, volume and value on the exchange during the calendar year, in this case, was 2023, so we were awarded in 2024. If you pay attention to this type of thing, you'll see that we did not make the list, the quote unquote 2025 list, which is based on '24 results. But I can tell you that we performed better on the TSX Venture both in terms of volume, value, and share price appreciation during 2024 versus the year that we were named to this. So not that I'm dissing the, the '23 results, but, it got even better for us in 2024. During the year, we paid a regular quarterly dividend of $0.045, and this was an increase of 12.5% on a quarterly basis versus the prior year 2023. In April, FeraMAX was named the number one recommended oral iron supplement in Canada, that was for the ninth consecutive year. This is a third party survey done of doctors and pharmacists right across Canada, including Province of Quebec where business and consumers work in our second language in French. Because for Quebec, it's their first language, so we're quite proud of the fact that we carry the number one banner right across the country. Also, in April, we extended our license and supply agreement for RepaGyn and Proktis, it's now been pushed out to 2032. This is quite similar to what we did in the year prior where we extended Cathejell out very similarly into the 2030s. In June, we announced the in licensing of a new endocrinology asset for Canada. This product is being prepared by our team for filing to Health Canada for marketing authorization. And so I would like you to be thinking about that as a 2026 launch product, likely second half of the year. Last September, we announced the acquisition of Tibelia and the Tibelia Canada rights in a transaction in which we deployed about $4.5 million of capital. If you want more detail on that in terms of price and EBITDA metrics, I just refer you to our press release of September 20. 2024. The results, as I mentioned before, that you see here in terms of financial performance, both revenue and profit for 2024 does not include any contribution from the Tibelia Global acquisition, and I've got a comment here on the next slide on that topic. We had a fruitful year last year in terms of share buybacks under our NCIB. We bought back over 492,000 shares, so deploying capital in favor of our shareholders, and we went to the TSX Venture Exchange and had our NCIB renewed for a further 12 months, so that was done last December when we announced that. Flipping the calendar into 2025 highlights, but we've already announced our Q1 dividend. So that dividend has been declared for $0.05 and is actually going to be paid this week, I believe, the week that I'm recording this presentation at $0.05, and that's an increase of 11% versus the prior year or the prior quarterly dividend. For perspective, since we started paying a dividend in Q4 of 2023, our quarterly dividend has now been increased by 25%. I mentioned a few moments ago that we had made the Tibelia Global acquisition. We have now started shipping to customers. So in both January and February, we had the Tibelia Global shipments to multiple customers summing up to about CAD800,000 Canadian dollars, and, there's more to come. The order book is filling for additional shipping in Q2 and then subsequently in the second half of the year. And on a YTD basis, we've continued under our NCIB and we've repurchased a little over 18,000 shares. So I mentioned off the top that I was going to speak a little bit about geopolitics, trade and tariffs. So we lived through I lived through as a leader and a manager at BioSyent. COVID-19, it's an interesting week in that it's kind of a five year anniversary for COVID-19 being declared a global pandemic. That was a trying time for our leaders, our managers, and our employees in the business. It was a lot of uncertainty, obviously. This feels quite similar with trade and tariffs. We do have some shipments ex-Canada. We do business outside of Canada. Mostly my thoughts here, you know, we don't think that's going to be much affected. I think really our thoughts now are with respect to how will it impact our Canadian business, which represents a high proportion of our overall. So, we're thinking in terms of the economy, what impact will it have on the Canadian economy and on the Canadian consumer? Number of our products are cash paying. So we have our eye on how will the Canadian consumer or the Canadian patient respond so far that we have seen no impact. Our business has started the year well, strong versus the year ago and we expect that through Q1, things are good. But the news on tariffs and really importantly, counter tariffs is almost like it's a daily news show, daily weekly. We do not ship much business into the United States and it's only with our legacy business, so we'll see no impact from U.S. tariffs on Canadian goods impacting our businesses. We've already positioned our products at customers, legacy products that customers buy in U.S. distribution centers, so gone down tariff free and no impact. It's a small amount. We do not sell any pharmaceutical products into the United States. Medicines generally have been traveling around the globe duty free, tariff free for about 30 years. And so we're not sure if that's about to change. I think because we're not selling into the U.S., really, what we have our eye on are countervailing duties. So what how Canada responds to U.S. duties and whether they choose to include medicines in their counter tariffs. So this is an unknown. I would say in terms of risk to our business, we don't expect there to be any impact on our 2025 P&L as we've essentially been building inventory, working with our strong working capital position, cash position. And we've been building inventory. So we're feeling well buffered from any P&L impacts of a tariff war for this year. And so our eye is really on 2026 and beyond. And I guess we'll just have to stay tuned as to kind of, how that'll be managed and what the countries do at the political and national level and to see how that kind of works its way through. So I would expect other than variances on foreign currency that there should be not a lot of drama on us at this stage. With respect to currency, we do business in three currencies. We do business in U.S. dollars, Canadian dollars, and euro. We buy and sell in all of those. We report in Canadian dollars. There has been a weakening of late of the Canadian dollar. We do buy goods, cost of goods in Canadian dollars. We have a hedging program, so there's a certain element of how that's been hedged out into the future. The other thing of note that's, useful for you to know is that we're a net euro seller. So while the Canadian dollar has deteriorated against the U.S. dollar, although that's been swinging itself over the last seven to ten days, the euro has been strengthening. And so we've got essentially a natural hedge built into our treasury operations with respect to movements in treasury. So as we look forward to what's going to drive our business forward, we have the new endocrinology asset. We've got it listed at the top of the slide. We think that this asset, we've reported this in the past that we think this asset is going to be a significant revenue contributor to the business. I would say larger than all of the products in our portfolio other than FeraMAX and maybe one day it'll rival, FeraMAX in terms of overall volume and revenue contribution. Of course, we've been executing a lifecycle strategy on FeraMAX. Brand has been contributing both growth and continued profit growth. We do have a new product that's in development. Think of that as a 2026 product. I've talked a little bit about, Tibelia Global in Canada. If you go back to the, kind of the brand performance slide, the very beginning of the deck, you see in Canada, the business is growing. We've now are going to start recognizing revenue in the first quarter from the Tibelia Global business. So we think that story will contribute to revenue and profit growth in the business as we go forward. And the other thing that I'd like to touch on is building our portfolio is a never ending process. Generally, we're not an R&D shop, and so we look for acquisitions. And we look for in licensing opportunities. We have been continuing to look at and work on acquisition opportunities. I don't want anyone to think that Tibelia Global acquisition is a one off. We continue to look for the right opportunity to add to our portfolio. And, of course, in licensing is an ongoing process. So we think the current portfolio as it sits has got strong revenue growth at peak penetration revenue, so significant double digit growth over the next four, five, six years, and anything that you hear about kind of from this point forward just adds to that story as we move forward into the future. So let's take a quick look at our cash balance and talk a little bit about return on equity. So the blue bars show you that the cash balance at year end, '22, '23 and '24, you see our cash position was down to $26 million. That is by design and by intent. We've been deploying capital in the business. I've just been talking about the Tibelia Global acquisition where we deployed about $4.5 million. We also spent $5.2 million on share buybacks. We have paid dividends in aggregate in 2024 of $2.1 million. So the $8.7 million in cash from operations, we returned $7.3 million to shareholders. So our working capital position is still strong, but this kind of working, doing more with less essentially has resulted in a return on equity jumping up to 21% compared to 19% in '23 and in fact, to 17% in the year prior. So essentially, an outcome of driving profit performance and doing it with relatively less capital in relationship to the overall business. So we keep our eye on that, we pay attention to it, and we think it really matters to stay focused on quality. So I've talked a little bit about kind of a quarter and a year. And we talked about 15 years. I mentioned that we've significantly grown our business. This slide shows you since July 2020, product launch activity and acquisition at the bottom of the chart in September of 2024 four. So while we're doing all of this, we're investing in commercializing and introducing new products to customers. As I mentioned, we grew our profit by two thirds and our earnings per share by double. So we're investing in innovation and expanding our portfolio, but fully committed to delivering profit performance as we move forward. So this leads me to something I get asked often when I engage with shareholders and that is around capital allocation. We think of it clearly as a link to our strategy. So the first use of capital in our company is to grow revenue and to diversify our portfolio. We've clearly been doing that. We've launched seven new products since the middle of 2020. We've made the Tibelia acquisition. And so we continue to build the business, build value for shareholders, but we're adding to that value by returning capital to shareholders that we see that we do not need to diversify the portfolio and grow revenue and profit. So we've been paying a quarterly dividend now since the fourth quarter of 2022. In total, including the dividend that's been declared will be paid in March. It'll be $5.1 million in aggregate that we've paid in dividends. And our buyback program has been even more substantial in part because it started earlier. Starting at the end of 2018, we commenced buying back shares of a total of 3.1 million in aggregate. This represents a reduction of our fully diluted shares outstanding of 21% for a total of $22.6 million. So you can see, starting in late 2018 and through to Q1 this year, returning capital of almost $28 million to shareholders. I'll just land on this slide very briefly. You can see our stock performance any day or any minute of every trading day. I just want to point out here that in our cap table that we've made a pivot away from issuing stock options in the favor of restricted share units. So the last time we issued a dilutive stock option was five years ago, so it was in March of 2019. Subsequent to that, we pivoted to using restricted share units as equity incentive compensation for management and directors. And totally separate from the share buyback program that I've just spent a couple of minutes talking about, we also go into the market and buy shares, which we hold in treasury and in trust. And that is to offset our obligation for when RSUs vest. And so I want you to think of those as two different buckets. The buyback activity as we report NCIB, those shares are purchased and canceled and reduce or fully diluted. In this case, we have treasury shares that offset against our RSUs outstanding and you can see they pretty well match up. Just wanted to finish today's presentation by saying, as I've suggested, that we've seen the order book filling nicely for our international pharma business, which is now not just FeraMAX, but Tibelia. We've had a good start to the quarter generally for the Canadian pharmaceutical business. And we look forward to reporting continued evolution of our business when we report to Q1 to you in May. Thank you.